Dominic Grossman: Hello and good morning, everyone. I'd like to welcome you to our Q1 2025 analyst and investor call. Thank you for joining early. My name is Dominic Grossman. I'm responsible for Investor Relations at United Internet. And here with me today, I have our CFO, Carsten Theurer. Briefly about today's program, Carsten will first take you through our presentation, which is business development in Q1 and will also take you through outlook for the remainder of the year. Afterwards, we will be there to answer your questions. So far from my side, I would now like to hand over to Carsten, Carsten the floor is yours. Please go ahead.
Carsten Theurer: Thank you, Dominic. And also a warm welcome from my side to our webcast on our 3 months figures 2025. Let's go into our numbers. On Slide 2, we have summarized our major KPIs for you. Our contracts increased by 150,000 to 29.17 million in the first 3 months of 2025. Our revenue improved by 4.2% to EUR 1.63 billion. EBITDA grew slightly by 0.1% to EUR 342.6 million. However, it is important to note here that we have already more spend than EUR 67 million for the rollout of our 5G mobile 1&1 network in the first quarter compared to EUR 42 million during the same period last year. Our EBIT declined by minus 12.9% to around EUR 162.9 million. In addition to the explained negative effect on earnings, this was due to higher depreciation and amortization as a result of investments in the rollout of the fiber optic network at 1&1 Versatel and the rollout of the 1&1 mobile network. This increased depreciation and amortization is to be offset by gradually increasing cost savings from this year onwards. EPS decreased slightly from EUR 0.35 to EUR 0.31 as a result of our reduced EBIT. I will continue giving an overview of the development for the first 3 months of the year for each of our segments. Starting with the Consumer Access segment. The number of fee-based contracts fell by 40,000 contracts to 16.35 million in the first quarter 2025. Mobile Internet contracts decreased by 20,000 to 12.42 million while broadband connections also decreased by 20,000 to 3.93 million. The development of mobile Internet contracts was burdened by increased customer churn inflection with the ongoing migration of all mobile communication customers due to 1&1 mobile network by the end of 2025 and is, therefore, in line with our expectations. We continue to anticipate that the migration will be completed by end of the year. Revenue in Consumer Access segment is fairly stable and amounts to EUR 1.018 billion in that case, while service revenues have remained flat year-over-year despite increase in churn, the overall decline was driven by weaker hardware sales, particularly in low-margin smartphone which fell by 2.9% to EUR 169.6 million. Hardware sales are subject to seasonal effects and also depends strongly on the appeal of new devices and the model cycles of hardware manufacturers. That being said, if we turn to the attention to EBITDA on the next slide. We can observe that due to the further year-on-year increase in expenses for the rollout of the 1&1 mobile network segment EBITDA fell to EUR 155.9 million. The net rollout costs amounted to EUR 67 million compared to EUR 42.4 million in the same period last year. As shown in the breakdown, next slide. The excess subsequent EBITDA remains robust at around EUR 233 million, while costs for the rollout of the mobile network, 1&1 mobile network subsegment rose by EUR 42 million year-over-year to EUR 67 million. Moving on to the Business Access segment. We were able to increase sales by 1.6% year-over-year to EUR 144 million. At the same time, the segment EBITDA increased by 3.4% to EUR 36.6 million. There was corresponding improvement in the EBITDA margin from 25% in previous year to 25.4%. In the first 3 months of the '25, total start-up costs for the new business fields, 5G and expansion of commercial areas amounted to minus EUR 6.3 million for EBITDA. Let us now turn the application side of the business, starting with consumer applications. The number of pay accounts rose by 80,000 to 3.12 million in the first quarter of 2025. By contrast, due to seasonal effects as well as higher security requirements at finance free accounts were 180,000, down on December 1, 2024. The growth of pay contracts in particular, led to adjusted sales growth of 3.7% from EUR 71.1 million to EUR 73.7 million in the first 3 months of 2025. There was also further growth in key earnings figures such as EBITDA with operating EBITDA increasing by 6.7% to EUR 20.5 million and corresponding improvement in our operating margin by 1 percentage point year-over-year to 34.5%. In the Business segment, we increased our contract portfolio by 110,000 contracts to 9.7 million. The increase came mainly from operations abroad. Revenues in this segment subsequently increased 19.7% to EUR 446.3 million. The increase in revenue was driven by strong performance of the Ad Tech segment, the former aftermarket business, benefiting from a favorable base effect due to the segments weakness in Q1 2024, [indiscernible] a robust overall performance in Q1 2025. This combination significantly contributed to the uplift in total revenues, which were well above expectations. However, it is important to note that for the segment, a phasing effect is expected going forward, driven by a new product launch and associated migration within the Access segment which is anticipated to be completed by year-end. EBITDA in the Business Applications segment increased by 23% compared to previous year to EUR 124.6 million. The operating EBITDA margin rose from 27.2% to 27.9%. So much for the segments. Here, we have summarized the most important KPIs for the group once again and add a few more. We have already talked about revenues and EBITDA. Our CapEx amounted to EUR 122 million after EUR 139.7 million in the previous year for the investments in our fiber optic network at 1&1 Versatel and the rollout of the 1&1 mobile network. Our free cash flow decreased to minus EUR 165.8 million, coming from EUR 142.9 million. Here over with more details on the next slide. The net bank liabilities increased 8.8% to EUR 2.937 billion year-to-date, while our equity ratio rose slightly by 0.2 percentage points to 46.7. This slide shows you the bridge of our EBITDA to free cash flow. One of the main contributors to our outflows this period is CapEx, totaling EUR 120.1 million as net. This reflects ongoing investments in the network rollout along with timing effects from the previous year. Specifically 2 invoices originally due last year that were paid this year. After accounting for taxes and changes in working capital, our free cash flow before leasing stands at minus 126.1 million, including leading this figure amounts to EUR 165.8 million. Finally, a brief word on the outlook. We simplified our revenues guidance for fiscal year 2025 to EUR 6.45 billion from EUR 6.4 billion prior year, about EUR 6.3 billion. Operating EBITDA is expected to amount to approximately EUR 1.35 billion, prior year to EUR 1.25 billion. This includes approx EUR 20 million in costs associated with the transition from the Telefonica national roaming agreement to the Vodafone NRA under the Telefonica NRA, certain network components are activated and depreciated whereas under the Vodafone NRA, these costs are recognized directly in EBITDA. This change has no impact on EBIT. CapEx, excluding any M&A transitions, is expected to increase to EUR 800 million above the previous year's level. In particular, as a result of the network rollout and the expansion of the fiber optic network in additional expansion areas for connecting mobile antennas. So much from our side, we are now available for any questions you may have.
Dominic Grossman: Carsten, many thanks for estimation. Now I would like to start with our Q&A session. The first question, please.
Operator: [Operator Instructions] We will now go to our first question. And the first question comes from the line of Polo Tang from UBS.
Polo Tang: I have 3. The first 1 is just on IONOS. Do you think IONOS can be a beneficiary of the EUR 500 billion German fund. Second question is just about your stake in 1&1. So you recently increased it from 78% to 80%. Can you talk about the rationale for that move? And would you consider buying out all of 1&1. And the final question is really just about working capital. So there was a minus EUR 170 million negative working capital swing in Q1. So could you maybe give a bit more color in terms of what's happening here? And how should we think about working capital for the full year?
Carsten Theurer: Thank you very much for your questions. I will start in the row you asked the questions. First of all, IONOS, we hope that we can profit from the infrastructure fund. But so far, there are no details available for the infrastructure fund. And so we have to wait and see. But for sure, in mind that the sovereign cloud is a big topic for the European Union. And also for Germany, we were well positioned with the IONOS and the products we therefore provide. The second question was why UI bought the shares from the 1&1. As Mr. Dommermuth said, if there is a possibility to get some shares, we will buy because our interpretation is that the share price is still not where it should be, in our opinion, and therefore, we bought or we have the opportunity to buy some shares and we bought them. For the working capital effect, therefore, we already mentioned that we paid to invoices in this year, which belong to the last year, that’s one of the effects and the smaller effect is also that there are stocks for hardware is slightly increasing, in line with a reduction in the hardware sales on the one side.
Operator: And your next question comes from the line of Nizla Naizer from Deutsche Bank.
Nizla Naizer: Carsten, I have two questions from my end. Firstly, and it's one that we ask every quarter, but how do you, as United Internet view your stake in IONOS, and maybe linked to that, if you look at your leverage position as a group, are you comfortable with where net debt is? And do you see a need to reduce it by monetizing certain parts of your holding? So some color on maybe how you think the holding structure would be great. My second question is on the sale of the energy business. Could you give us some color on this when is it expected to close? And how much are you expecting for it? Some details there would be great.
Carsten Theurer: Thank you for the questions. How do we think about the IONOS. As I mentioned before, we think we are in a favorable situation to have such a company and to have such a big share in those company because we believe in the strong story of the not only on the hosting side. But as I mentioned before, in the cloud side, and there is always room for improvement on that side. And therefore, we already opinion that we stick to our stakes at the moment. And maybe it’s too early to leave the party. It’s also on the leverage level for the UI. We are now slightly over to leverage factor and we feel very comfortable also in a range until 2.5%. And therefore, there is no reaction favorable from our side to reduce our leverage level. Concerning the energy business, we are still in negotiations. We hope that we closed the deal in a few months. So it’s already – so I think Q3, Q2, maybe, as mentioned at the moment. And therefore, we close the deal this year, we are sure and make the information.
Operator: There are currently no further questions. I will hand the call back to Dominic.
Dominic Grossman: Thank you, operator and thank you, everyone, for attending our call today. Please do not hesitate to connect us any follow-up questions. We wish you a nice day. Stay safe and goodbye.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.